Operator: Welcome to the global conference call of Daimler. At our customer’s request, this conference will be recorded. The replay of the conference call along with the presentation slides will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by a Q&A session. (Operator Instructions) I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management’s current views with respect to future events. These forward-looking statements can be identified by expressions such as assume, anticipate, believe, estimate, expect, intend, may, plan, project, and should. Such statements are subject to many risks and uncertainties, example which are set in the Safe Harbor wording in our disclosure documents. If the assumptions underlying any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand over to Dr. Michael Mühlbayer, Head of Daimler Investor Relations and Treasury. Thank you very much.
Dr. Michael Mühlbayer: Good afternoon, this is Michael Mühlbayer speaking. On behalf of Daimler, I would like to welcome you on both the telephone and the Internet to our Q1 results conference. In order to give you maximum time for your questions, our CFO, Bodo Uebber will begin with his short introduction directly followed by Q&A, Now, I would like to hand over to Bodo Uebber.
Bodo Uebber: Thank you, Michael. Ladies and gentlemen, we announced first quarter numbers earlier today and they are again solid numbers. In a challenging and volatile market environment and despite high investments in the future Daimler delivered the best first quarter revenues and EBIT. Post Group sales and revenues increased by 9%, at the Group level we posted EBIT of €2.2 billion from ongoing business, that’s an increase of 3% compared to the previous year. Net profits is very satisfying at €1.4 billion, which is 20% higher than Q1 2011. Earnings per share amount to €1.25 versus €0.99 in Q1 of the previous year. Industrial free cash flow was a negative €2 billion. This is mainly caused by the seasonal development in working capital. The increase in inventory is related to the selling of the product pipeline at Mercedes-Benz Cars to prepare for the spring selling season and the market launch of new products such as the B-Class, SL or the SUVs. Also at Daimler Trucks, we recognized higher inventories at the end of Q1. This increase relates to the order of book and the resulting stronger sales in the coming months particularly in NAFTA and Asia. We also accounted for some Euro V inventories in Brazil due to the transition phase from Euro III to Euro V. In addition, we had a cash out flows from capital contributions to Engine Holding in connection with the integration of the Bergen business into Tognum and the investment in our Chinese Truck joint venture. As we continue to invest in our future beyond 2012 in new products, new markets, and new technologies, free cash flow was also affected by higher spending in connection with CapEx and R&D. Our net liquidity remains high at €10.1 billion. Now let’s discuss the performance of our divisions in the first quarter 2012. At Mercedes-Benz Cars following up on our record sales last year, we are off to a successful start in 2012. To date, we have recorded a new sales record in every month of this year with sales of 338,000 Mercedes-Benz and Smart cars. We set a new high for first quarter sales, and March was the strongest single sales months in the company’s history. Mercedes-Benz Cars posted an EBIT of €1.3 billion with a return on sales of 8.4%. On the one hand, this quarter’s earnings were supported by higher sales and currency effects. On the other hand, we incurred a temporary less favorable net pricing in China with some selected imported vehicles. Benz also resulted from higher expenses from new technologies, new products and additional planned capacity. EBIT was also impacted by the discounting of non-current provisions with lower interest rates. In addition to our excellent start this year so far, it is especially the overwhelming customers’ funds to the new models, which makes us very confident that we achieve our goal of posting a new all-time sales record in 2012. In 2012, we will profit from the continuation of strong demand for our models in the C-Class segment. At the end of March, we launched a new version of our iconic SL. We anticipate further growth for our family of SUVs, preliminary due to the full availability of the new M-Class and as of September 2012 of the new GL. In addition, the new generations of the GLK compact SUV and of the G-Class will be launched in June 2012. The new models in the high-volume compact-car segment will also contribute to growth in unit sales. The new B-Class was launched in November 2011 with the new A-Class to follow this September, plus we will bring a completely new automobile concept to the market in September, the CLS Shooting Brake. In the coming quarters we anticipate that business and earnings at Mercedes-Benz Cars will follow the regular seasonal pattern. Daimler Trucks increased sales in the first quarter by 21% to 108,000 units mainly driven by Trucks NAFTA in Asia. Trucks NAFTA was very successful with 41% growth in unit sales to 33,000 vehicles and continues to be the market leader in the Class 6 to 8 truck business there. Trucks Asia increased its unit sales by 31% to 43,000 trucks. Overall in the coming – sorry, unit sales of trucks Europe, Latin America declined by 5% to 31,000 vehicles. This is mainly a function of the introduction of the new emission regulation in Brazil [residing] in 31% lower unit sales. In Q1 2012, incoming orders were at the level of unit sales. As of today, our order backlog extends into summer 2012. Now the trucks recorded an EBITDA of €383 million, which equals a return on sales of 5.2%. Again, all truck business units have made a positive contribution to our solid performance. Positive volume effects were offset by the challenging business environment in Latin America and costs related to our product offensive with the new Actros. EBIT was also impacted by the discounting of non-current provisions with lower interest rates. Customer response to the new Actros is good. We are satisfied with the auto volume. With the new Actros we are able to win over new customers who have not bough Mercedes-Benz Truck in many years. As expected, the main volume of new Actros is ordered as Euro V version, still at approximately 25%, the Euro VI share is currently higher than expected. Overall in the coming quarters, we expect growing unit sales and increasing earnings. Uncertainties persist in connection with the Brazilian market these are reflected in our new market predictions. Let’s now move to our Van business. It again generated very good EBIT of €168 million, return on sales was 8%. Despite lower sales less favorable model mix and higher expenses for R&D, Mercedes-Benz Vans could post stable results. And this achievement was mainly the result of lower warranty costs. The new CD vans Citan will be introduced this fall. Overall we expect a positive sales development in 2012. Daimler Buses posted a first quarter EBIT of minus €67 million from ongoing business. This EBIT development is a function of seasonal low sales in Q1 2012 and the new emission regulations in Brazil, which resulted in a reluctant sales behavior of many customers. To strengthen the competitiveness of the bus business we have initiated repositioning programs in Europe and North America. These programs will reduce a break-even level of Daimler Buses. These programs are designed to achieve the targeted 6% return on sales in the coming years. ‘GLOBE 2013’ will be rolled out at all locations in Europe and along the entire value chain. The cost related to this program amounted to €36 million in the first quarter. We anticipate additional expenses of up to €50 million by year end. Yesterday we also announced a fundamental repositioning of our bus business in North America called Transit. In connection with this initiative we anticipate expenses of around €60 million. For the fiscal year 2012, Daimler Buses expect unit sales below the previous year’s level. Daimler Financial Services delivered another strong EBIT’s performance of €344 million. This positive development was mainly driven by a favorable risk situation [entire] contract volume that were opposing effects on (inaudible) from slightly lower interest margins. So much for current developments in our perspective on our individual businesses. Now let’s turn to our outlook. Mercedes-Benz Cars assumes that we will further increase in unit sales this year and grow faster than the market as a whole. We expect our unit sales in each of the remaining quarters of 2012 to be higher than in the prior year periods. In regional terms, we see further growth opportunities in 2012 above all in North America as well as in China, India and Russia. For the smart brand, we expect an ongoing stable level of unit sales. Daimler Trucks anticipates another rise in unit sale this year. In Europe, we indent to develop better than the market as a whole, thus further extending our market leadership. Our most important model in this respect is the new Actros, market effects connected with the introduction of stricter emission regulations in Brazil, mean that the sale situation there will be difficult, but we expect to maintain our good market position. Because of the still very high average age of trucks in the NAFTA region, we anticipate high demand for replacement vehicles and thus expect another increase in unit sales in that market. We also anticipate growth in unit sales in Japan driven by the reconstruction work following the natural disaster. Mercedes-Benz Vans anticipates a further increase its unit sales in 2012. The launch of the new Citan in the small-van segment will help increase our unit sales in Europe. Furthermore, Mercedes-Benz Vans also expect to sell more vehicles than in the prior year also in the United States. And we should be able to participate in the positive development of the Latin American markets due to the launch there of the current model generation of the Splinter. Daimler Buses anticipates a decrease in unit sales in 2012. We expect weaker demand this year above all in Latin America that’s due to the introduction of the Euro V emission regulations in Brazil, which led to purchases being brought forward in 2011. We anticipate a slight recovery of our business with complete buses in Europe. Daimler Financial Services expects to achieve growth in contract volume and new business in 2012. The normalization of credit risk is expected and that a moderate increase compared with a low level of the year 2011. We assume that Daimler Group’s revenue will increase again in the year 2012 following on the heels of significant growth in 2011. We expect to see above average growth rates in emerging markets and in North America. On the basis of current market expectations and the planning of our divisions, we aim for the Daimler Group to achieve EBIT from on-going business in 2012 that is in the magnitude of the prior year. We have set the following targets for the divisions EBIT from the on-going business. Mercedes-Benz Cars at the prior year level, Daimler Trucks at least at the prior year level, Mercedes-Benz Vans same, at lease at the prior year level, Daimler Buses below the prior year level, and Daimler Financial Services slightly below the prior year level. Our targets are based on the assumptions that the economic and political environment, automotive markets and the exchange rate environment remain stable. We continue to make progress towards our targeted return rates of 2013 onwards. And ladies and gentlemen, we are a business company, we have defined targets and plans for this year and the years to come. Our group strength along with our sound strategies defined in each division will help us to meet our targets. We outlined that Mercedes-Benz 2020 strategy at our Division Day in Hungary, and we will present on the truck strategy in more detail to you in the course of the year. And as Dieter Zetsche said in the cash commit, there is a strong commitment in our entire organization. we know our challenges and we’re determined to tackle them. We are confident that we have the plans, product and people to get the job done. Now, I look forward to your questions. Thank you.
Dr. Michael Mühlbayer: Thank you very much, Bodo Uebber. Ladies and gentlemen, you may ask your questions now. I will identify the questioner by name, but please also introduce yourself with your name and the name of your organizations before asking questions. Two (inaudible) points firstly, please avoid mobile phones, and secondly, please ask your question in English. Before we start, the operator will explain the procedure.
Operator: (Operator Instructions)
Dr. Michael Mühlbayer: First in line today is Horst Schneider.
Horst Schneider – HSBC Trinkaus & Burkhardt AG: Horst Schneider here from HSBC. I’ve got couple of questions. First of all, I want to know with regard to the other cost changes, I mean you have set in Mercedes Cars, but also in trucks, if you have got the burdens from the discounting of provisions. I would like to have more details with regard to the rest of other cost changes, where did they come from. In particular in cars and trucks, maybe you could quantify that to which extent that came from higher D&A, higher R&D, or the special effect that we have got in trucks and cars related to the ramp-up of new product. Then the second question that I have is you still have got a very broad guidance for the market in Europe with regard to trucks. So, maybe you could give us some more help if we should expect now rather flat market or if we should expect the market rather to go to minus 10%. And then the last question that I have related to the China joint venture, I mean you have this production rates in Q1, the China joint venture now was negative in the first quarter. Do you expect here the significant earnings recovered in the next two quarters with a normalization of the business? Thank you.
Bodo Uebber: Thank you, Mr. Schneider for your questions. To your first question, the other cost changes of course first, we have disclosed the burden from the lower interest rates on long-term provisioning in our backup in the presentation. I do think you have seen the effects quarter-by-quarter. I do think it was $89 million in cars in the next – the difference of the both numbers and other bigger stuff was in trucks. We had of course, as we already in the beginning of the year said, burdens from product launches and plant ramp-ups in the first quarter. we had roughly a $50 million from ramp-up in the cash commit plant. You have clearly also seen the BBAC at equity participation was negative, but the difference was another kind of 50 million. So in total, that was a burden that we had in the first quarter. With regard to R&D the same happened as we clearly announced also before that we invest in R&D a lot that burdens of course, the cars so to say and the truck business. But for good reasons, because product to come in the next upcoming years. We had also with regard to our sales development some more logistically costs for example in the sales area and all-in-all that came up with that roughly 300 million, which we disclosed in our [blog]. Within trucks of course we announced also in the beginning of the year further launch of the second model so to say from the new Actros. The new Actros is currently in the market very well recognized. We have another – and [enter] this yesterday in the press about the efficiency of the truck. Now it came up with 9%. You might remember we discuss 7.9%, so even now we get higher numbers base mainly on the engine side of the trucks. The burden as we already said in the beginning of the year is roughly 300 million for the year and it is more or less equally spread so it’s 75 million. In this regard and that yet up so to say in the burdens of the – the cost burdens of within trucks. So these as a clarification what happened as I said before, as we already addressed it in February, as there is no change to what we have said there.
Horst Schneider – HSBC Trinkaus & Burkhardt AG: Okay, sorry then follow-up on Mercedes Cars. So also in the next few quarters I guess, that we will see in the walk down then some negative impact in the magnitude of minus €150 million to minus €200 million is that right?
Bodo Uebber: I don’t want to make now a clear guidance on that of course, which we should – we should see the local equity development of BBAC, for example due to break – the production break we had in China. Of course it should develop further positive. But as we said in the beginning of the year, we have a total burden at this year of the content we have in the cars. As we said, the CO2 related measures and the capacity increase over the year. So I don’t want to give now guidance for each and every quarter. Finally it reflects – is all incorporated in our EBIT guidance of the total year.
Horst Schneider – HSBC Trinkaus & Burkhardt AG: Okay.
Bodo Uebber: Coming to your second question with regard to the European market, I would say that the overall – the development, we had the same guidance in the beginning of the year, zero to 10% negatively. Today after, yeah, two months of that guidance I would think we’re a little bit more positive in Europe. So yesterday, Volvo came up with this minus 5%. So we are so to say in that bandwidth, because you cannot really finally say all the European market is developing. It’s really based on the Southern European, for example development and also, for example UK. But from today’s point of view we are a bit more positive in Europe than we where in February. So your third question was about BBAC. I do think I’ve already answered this question. Yes, it was negative in the first quarter, but I assume that it would bounce back due to the ongoing production then in Q2, Q3 in China.
Horst Schneider – HSBC Trinkaus & Burkhardt AG: But you see in the China, the product or the models produced by the China join venture you don’t see any significant demand problem in the market?
Bodo Uebber: No. We have seen in retail a very positive development. So we were over and above – development was very good. And we have to see that many of our models will come to China during the course of the year. So that B-Class will be introduced. The GLK is now produced in BBAC in our joint venture and that will certainly also has a positive impact on the retail side of the business and therefore also the profits and revenues.
Horst Schneider – HSBC Trinkaus & Burkhardt AG: Okay, thank you very much.
Bodo Uebber: Okay, welcome.
Dr. Michael Mühlbayer: Okay. Next in line is [Jochen Gehrke].
Unidentified Analyst: Yes, good afternoon. Three quick ones, if I may. First of all on trucks in Brazil, could you help us understand the situation in the quarter? We heard from competitors that Euro V prices were put on Euro III levels. What was really the percentage of your sales in the quarter in that market that was still available with Euro III inventory. And then what is currently the development in the market on the bright side. Do you see it now, and is it possible to push through prices. Secondly, more structural on trucks, I think when we look at the last two or three quarters, it’s fair to say that we understand the actual situation, but nevertheless on a total revenue basis, running really very well towards the levels that we had in the past peak situations. Yet your margin is far away from even the average level. Where do you see yourself now currently? Regionally, we understood in the past that this is a very big difference between the various assets. How is Japan progressing now in the first quarter with a good recovery, can you just update us on that? And then on the third question, cash flow, obviously minus 2 billion was a negative development in the first quarter. How are the coming quarters progressing, because even if I strip out the effect of working capital, it does look like a disappointing cash flow quarter at least from my perspective. If you could shed some light on this also knowing that CapEx activities is more (inaudible) in the second half of the year? Thank you.
Bodo Uebber: [Jochen], thank you for your three quick ones, your raising questions. First, let’s talk about Brazil. Mainly we have I do think in all the competitors we have the topic [discussion] when the customers are ordering or getting the Euro V trucks. So the market is more or less in order, it depends when this demand will sort to say happen. And currently a little bit of a question, when the government support can be sort to say implemented more or less the direction is clear, but of course as you know, when you get a law or a regulation we have to implement it and it has to be done by some authorities and so on. So of course, when that happens, I do think the market will bounce back and that might be then happening in the, yeah, at the end of the second quarter and third quarter this direction I do think that it is a common understanding right now. The topic there right now you see, if there are some topics in the market like the availability of the diesel fuel, for example for they are hesitating to go into Euro V, and the prices for Actros for example which you need is also pretty high. And again, this is governmental incentive. So, by all means the product is okay, the market so to say is okay. I do think the market needs another couple of months to bounce back, and then of course we will see also the Euro V upcoming then revenues profits and so on and so forth and as the market gets big, revenues and profits are getting big. The pressure in the market comprising of course Euro III almost nobody has anymore Euro III inventories. There might be one, maybe one competitor who has somewhat, but what I could read in the disclose of all the others right now, there is almost no Euro III, for therefore its already done with that kind of [us] maybe a little bit of pricing pressure for Euro III, but of course that is so to say done. That’s to the Brazilian situation. Your second question was more a broader one I would say to Daimler Trucks. The current situation is, I would say, within Freightliner I have very positive one. From a market point of view of course, we’ll get a lot of tail winds so it’s a positive market value to the edge of the fleet and the demand coming from that area or profits are definitely in returns are heading into the right direction, this is close to our benchmark rates, which we have discussed. Fuso was – is doing well, I have to say. Also developing well based also on a good revenue in the first quarter, so they are also pleased with the development and I’m also pleased with the new Actros, as they already have seen the market introduction went well, their quality is good, the feedback from the customer is good. So we’re doing well in that introduction, but on the other hand we had to account for the cost side that as we explained it before that burden somewhat of course the first quarter, and Brazil I have already explained. So for the next upcoming quarters, I expect sales development going upwards and then this of course that was also based in our plant we have addressed the weaker or the soft start, if you might say so within trucks. I expect that we bounce back on the revenue side and the profitability side over the quarters to come. Your third question was regard to the cash flow, again first quarter has seasonality in from so to say from the passenger car side, we will sell this stocks so to say inventories in the second quarter. We expect as we sat in the seasonal patterns over the second quarter is very good one, we have to prepared for that and of course we have some inventories for the M-Class and for the B-Class logically because we are on the ramp up into the markets, we have to fill up the pipelines. On top of course we said it also in the capital market days investment of course so to say also there impact. On the truck side also we prepared for the upcoming sales in NAFTA and in Asia and in Europe. Europe, again also we had to prepare for some stocks because you might remember that we had also a production downtime in built planned for, so that’s icon also is normal business that we do have here and we had accounted for the Bergen business as you know for €200 million, €50 million for the joint venture in China, which all included in these numbers, so I expects that we deliver our cash flow guidance of the total year as I explained it out this morning in the press. In this regard that we will be overachieving the dividend from today’s point of view excluding some contribution to Engine’s as I addressed it also in the beginning of the year and this investment into Bergen and the investment into the joint venture in China.
Unidentified Analyst: So can I just come back on the truck side, you’re happy with North America, you seem to be pleased with Japan and Europe okay, but when I put it all together it gives me 5% and NAFTA used to be target about 8, I think Fuso targeted about 5 and Euro/LATAM was the region that we always understood to be end of the digits. If Euro/LATAM really currently running below the average or close to half the average, is that the picture we should understood?
Bodo Uebber: Yeah, of course I would be lying if I would tell you we would be over the average, no of course we are in this regard as I said before, we have the cost burden on the Actros launch as I said it before. We had of course a slow start regarding sales, within Europe and Brazil so to say that is the piece where it’s currently from a market point of view difficult as I said it before, where the contribution is almost at a very low level. And that is a market’s driven topic and that’s I expect this market driven topic over the quarters, so to say again being – again in the normal rates so to say we are kind of a little bit waiting for the market, what we do currently is we’re doing roadshows with our products, which are quite (inaudible) in Brazil just to prepare for the time where the markets will pick up.
Unidentified Analyst: Okay that’s clear, thank you.
Bodo Uebber: Okay, thank you.
Dr. Michael Mühlbayer: Okay. Next question we take from Daniel Schwarz.
Daniel Schwarz – Commerzbank: Question on the increased inventories for trucks for sales in coming quarters, does that help to see weaker order intake in the first quarter, and in NAFTA, the minus 27%. Is that in line with your expectation and how does that develop in the second quarter? And if I understood it right, Euro VI represents 25% of your orders in Europe. What’s the reason for fleet operator to on Euro VI beside very low volumes to test it within the fleets?
Bodo Uebber: Thank you for your questions. First of all, the last question of course is the good product. And the fuel efficiency I’ve mentioned, which you know that this is the big part of the total cost of ownership, the highest share is fuel and that means engine. And we get a very good feedback with regard to the engine and even as I said before we have done our own testing, but our own testing has to reflect our other testings it means external testing, which even better than our own testing. Therefore the product is very good, of course we always we had planned for if we do not sell the Euro VI so to say from the beginning of course. There are some markets have already incentives out for Euro VI, Switzerland for example, and but also other ones. We hope that Germany will also go into that we have some discussions there and hope on the implementation that would accelerate somewhat, of course here the order intake, but anyway it’s a good product. In your questions regarding inventory and order intakes, the current situation is in NAFTA very positive. Our order backlog and order intakes and sales finally in our forecast covers 70% of the total year that means of course we are in a pretty good shape right now with the order intakes. We have seen order intakes in Q1 in NAFTA for Freightliner compared to last year somewhat lower, but last year was also driven by high fleet orders. And so therefore we don’t see an issue I would say pretty positive in the NAFTA and Freightliner. With that order intake we have currently in our sales development really to make it a very good year for Daimler. In the European business, we have reached as we did and have it always is kind of three months that was not different to February, that it’s not different today. As I said before, we expect the accelerating sales in the upcoming quarters. In Latin America, of course it’s a different business model. We are selling to dealers on stock and there as I said before we have to wait for the kind of the market is bouncing back with regard to Euro V that’s more or less a situation there.
Daniel Schwarz – Commerzbank: Okay, okay thank you.
Bodo Uebber: Welcome.
Dr. Michael Mühlbayer: Next in line is (inaudible).
Unidentified Analyst: Yes, hello (inaudible). Thank you for taking my question. If I’m correct during your Capital Markets Day in Hungary. You said there’s some discounts were being given on the S-Class in China, since the new edition was going to be introduced in April. I was wondering if you could give us an update of how the phasing developing, but also on the pricing situation after this previous edition was discounted. But also maybe a comment on the overall pricing situation there would be great? Thank you.
Bodo Uebber: Thank you for your question. As we said it already in (inaudible) I do think answer the question in the Capital Market Day on the changeover so to say from old models and new models in China, imported cars. We are back on track, so to say back on track of course we were pretty much successful with that program. On the other hand, but incentives are reduced again to the levels we had before. So therefore it was a clearly targeted program, which we had and we are on track. The overall situation, China accounted for a big piece of that topic in pricing. For the year we are again as also Dieter Zetsche said in cash commit targeting for a positive net pricing that is based on new models as we have said M-Class, B-Class and also good market so to say in good market conditions as we see currently in China, U.S. is kind of doing well. In Germany, we are according to our plan. so therefore, we do expect a positive net pricing. Although, we have this stuff in the first quarter.
Unidentified Analyst: Okay, thank you.
Bodo Uebber: Thank you.
Dr. Michael Mühlbayer: Okay. Next in line is Arndt Ellinghorst.
Arndt A. Ellinghorst – Credit Suisse: Good afternoon, everyone. It’s Arndt Ellinghorst, Credit Suisse. First question is on Mercedes. I saw that you sold quite – 13% I think less Mercedes Cars to your dealers in China, and they sold 24% more to end customers. So this inventory reduction, could you share your thoughts how much of a positive drive for Mercedes in the second quarter this could potentially be? And then secondly, again on trucks, a couple of things here, I mean firstly, your incoming orders are 10% lower year-over-year and they’re also 10% lower sequentially from the fourth quarter. At the same time, you need quite a big ramp-up of margin contribution from your trucks division for the rest of the year. Isn’t there a bit of a risk that if the economy doesn't do as good as we might hope it would be for the rest of the year that this could endanger your $9 billion profit target for the group. And then secondly, on the Actros, is there a risk or how big is the risk that today we talked about the launch cost of the Actros and in the years time we talk about the cost from selling the Actros. Because if Europe doesn't do much better I fear that your customers will pay that roughly 10% price increase that you need in order to cover the additional cost of the truck.
Bodo Uebber: Thank you for your questions. So you’re right with your assessment in the first stuff, with regard to wholesale and retail. So in the second quarter, we should see positive effects from a higher wholesales – group sales numbers. And therefore also the – as I said it before, at equity participation profit of our joint venture there should be also bounce backed to positive numbers, so you are right. Your second question with regard to order intake and what makes us positive in this regard. as I said it before, the difference between February and today in Europe is, from a market point of view, a bit more to the zero as we – than less to this minus 10% in this volatility, and of course, there is in that message when we said of course, no doubt. there could be some southern countries developing differently. But in this topic, we are more positive than in February. with the Freightliner, our order backlog is a very good one. So we have a very good reach based on our order intakes we had last year, but also the run rate we’re just getting in now. We have some fleet orders, which are rolling in every month, so that they're kind of (inaudible) kind of framework agreements, which we have with the fleets. So they are so to say more or less fixed, and they’re rolling in so to say every month. So there, we are pretty good and kind of a bit better even also as we have seen it in February. The difference what we have here currently is that we might have, we have increased the volatility in Brazil somewhat and that is of course, I would say the kind of negative. Putting the positives as I said it before, and the negatives together, there is currently – it’s a confirmation of our guidance within trucks. I don’t see no reason to change it, because the underlying order intakes what we have currently, the customer feedback on the Actros, for example, but also within Freightliner is doing well. Our market shares are pretty strong, so we see currently our product in Freightliner doing very good in market share. We could gain more market share in Fuso again, when we lost over a couple of years. And as I said in Europe, with the Actros we are doing fine also in market shares and (inaudible). So putting all that stuff together, guidance at least last year is confirmed and committed.
Arndt A. Ellinghorst – Credit Suisse: Yeah. Maybe I should have been a bit more precise, excuse me for that. My question about the Actros was about the Euro VI Actros and whether there is a risk that sales of the Euro VI Actros are less profitable than sales of the Euro V Actros moving forward?
Bodo Uebber: No, they aren’t. As we discussed in of course as we went in a while that we have addressed with 300 million this year with the Actros and last year we had the 300 now we have incremental more that 300. So by seeing customer feedback currently and our total cost of ownership advantage what we do produce here, we don’t see the risk that we do live – do not deliver our benchmark targets including the Actros for Europe in the upcoming year so to say. This year I can’t confirm it of course, because we have the launch, but coming to 2013, ’14 of course we will deliver.
Arndt A. Ellinghorst – Credit Suisse: So, you think the Actros Euro VI is as profitable as the Actros Euro V in the year’s time.
Bodo Uebber: And as I said before, not in the beginning, because we have this launch cost and secondly, we explained it once that we have the contracts with suppliers are more contracts which are going through the learning curve. So through the year, that means of course we have a burden more in the beginning and then in the second year it’s better and the third year is better. With that caveat said, we have to look at it totally we deliver finally also the margin wise two months the old Actros no doubt and hopefully we are getting more market share and of course the aspiration level is not to be the old Actros we would like to gain more market shares and more revenues.
Arndt A. Ellinghorst – Credit Suisse: Okay, thank you.
Bodo Uebber: Thank you.
Dr. Michael Mühlbayer: Okay, next question we take from Kristina Church.
Kristina Church – Barclays Capital: My questions, I would say quite a little bit on Mercedes and frankly just on your 10% long-term target. I wondered is it free to cycle target now and whether the increased cost that you’re having to spend to contents, what is that makes you more confident that you can be at a higher place in the future than you’ve been historically given that increased spending.
 :
Bodo Uebber: Thank you for your question, first of all your 10% question to the 10% target, yes it is over the cycle and that means of course it’s an average number. Your second question was with regard to the question of content and the question of CO2 related measures, which we have addressed in cash commit. So the one answer is of course yes, we have a burden. We accounted for that burden in total over five years to 6 billion as a burden over time, which accumulates so to say. And our answer to that burden is a modular (inaudible) the net zero approach, which we called it in cash commit, which contents the modular strategy Phase II. Phase I, we had already for a couple of years, doing phase more or less on reduced architectures. On the one hand, this will be also commercial negotiations on the other hand and the other efficiencies on the other hand. So we will offset this 6 billion over the time until 2017. We have not disclosed what kind of percentage the one or the other [basket] is. We have shown in cash commit some examples. Wolfgang Bernhard showed us a couple of components of course where he likes to address some of that stuff and I do think Thomas Weber showed us in his architecture as how he would like to do that, and we gave examples of commonality in the compact-car area. With regard to your – to your questions with regarding to temporary workers, we have 4,400 temporary workers that’s in the passenger car in (inaudible) Germany in total. So I can’t give you the number now it’s placed up here, but 4,400, but I do think anyway the better information might be also what we said that we can fluctuate with our capacity so to say very nicely in cars up to 25% and in trucks even more you know that from the past.
Kristina Church – Barclays Capital: If I could maybe ask the question on Mercedes margins in a different way then…
Bodo Uebber: Okay.
Kristina Church – Barclays Capital: The 10% margin, is it the net zero game in terms of costs on the modularity and you had 10% through the cycle margin, is it something you’ve ever achieved in the past? Is it just purely through volumes that you will get to that range in the – what am I missing?
Bodo Uebber: No, we are not going only for volume in that regard. As we said, the 10% – next year of course is positive volume as we lined it to the market expectation and other topics, but it’s also based on our for example, introducing of new cars. For example next year, we have the S-Class, which is so to say on that net zero approach, one of the next – in the new architecture developed. and therefore, of course, we have cost increases for example in the S-Class. and so it’s partially of course in coming – into the year 2013 with a good guidance. But as I said, these are, the modular strategy is overall program, which is going until 2017 so to say.
Kristina Church – Barclays Capital: Thank you.